Operator: Good afternoon, ladies and gentlemen, and welcome to the Q2 2025 Conference Call of Raiffeisen Bank International. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Johann Strobl, Chief Executive Officer. Please go ahead, sir.
Johann Strobl: Thank you very much. Good afternoon, ladies and gentlemen. Thank you for taking time out of your day to join us for our Q2 update. We can report a consolidated profit of EUR 567 million for the first half of the year in the core of the group, excluding Russia. This translates to a return of equity of 8.1%. Our CET1 ratio, excluding Russia, stands at 15.7%. If we were to have to deconsolidate Russia at the end of June with 0 recovery on the equity. In the figures above, you can see the impact of the claim derecognition in Russia in the second quarter announced last week, which I will touch upon shortly. The consolidated ROE for the group here is annualized with this claim derecognition considered in the first half year only. Loans to customers continue to grow. And the first half of the year has been successful with good volumes in retail for personal loans and mortgages, with corporate business showing signs of life. Main revenues are stable in the comparable period, while fee income continues to show positive developments. OpEx inflation, on the other hand, is visible year-on-year resulting in a cost-to-income ratio of 53.7% for the core group, mainly driven by staff expenses. Moving to our slide on Russia and starting with the business rundown, which continues as expected. Our loan book in Russia has shrunk by 9% in ruble terms since the beginning of the year, and I can confirm that we are ahead of schedule here. Deposits have also started to shrink also down 9% in ruble terms year-to-date. You will recall the ruble appreciation in Q1, which distorted the graph on the left-hand side of the page. With a stable currency development in Q2, you now see the reduction in euro terms has resumed. Let me now briefly address the statement which we put out last week and which refers to the claim we have faced in Russia and our options to seek damages in Austria. You will recall that in Q4 2024, we booked a single provision which was the net amount of the claim for damages to be paid in Russia and the expected proceeds from the enforcement of our legal claim in Austria. Unfortunately, the strict IFRS criteria for recognizing the value of our Austrian claim are no longer met, so we have derecognized it in Q2. A few important points. First of all, this has no impact on the core of the group, meaning that neither our price book 0 CET1 ratio nor our ROE guidance is affected. Second, the strength of our legal recourse claim and our own expectations by success -- of success and recovery are unchanged. Our legal strategy is unaffected by this accounting change. Please understand there is a little more that I can say here today, in particular with regards to our next steps and our litigation strategy. We will communicate in a timely manner when necessary. Let's move now to the following slide, looking at the main revenues in the second quarter. NII was stable compared to last quarter despite headwinds from rate cuts in euro and the Czech krona. Better volumes were supportive, particularly in non-euro countries. NII in Hungary was affected by minus EUR 22 million due to an adjustment in the reporting of interest rate differential on hedging instruments, which explains the decrease you can see here in the quarterly view. Our NII guidance for the full year remains unchanged. Fee income in the second quarter rebounded up 8% quarter-on-quarter for the core group from the seasonally weak first quarter, which is usually a little bit weaker, mostly stemming from clearing settlement and payment services. Also, our fee income guidance for the end of the year remains unchanged. Next up are the developments on loans and deposits, which we show in Slide 8. The EUR 1.4 billion increase in loans to customers in the second quarter was driven by continued expansion in CEE, especially in Czech and Slovakia and partly in SEE countries. We can also confirm our loan guidance of around 6% to 7% expected by the end of the year, with the new corporate loans picking up more dynamically in the second half. As seen here on the liability side, we observed continued retail deposit inflows as in the previous quarter, especially in Czechia. Coming to the next slide. We now also show the liquidity ratios for the core of the group. One could think that high liquidity in Russia might skew the ratios very much in the positive direction. But here you can see that even without Russia, the LCR stands at a comfortable 150%. Over the last quarter, our corporate deposit base continues to decrease slightly, which means we are close to our targeted levels of deposits. Across the countries and of course, in head office, we can report as usual, high liquidity. On Slide 10, we now show also the CET1 ratio development quarter-over-quarter, excluding Russia, assuming the price book zero scenario. Out of the credit risk bucket, 39 basis point impact is exposure growth. And on the other hand, of course, we see a positive impact of 24 basis points from retained earnings on minimal FX effects. You have been now familiar with the price book zero scenario on the following slide, where we again show the CET1 ratio for the group under the assumption that the Russian business has been deconsolidated with a full loss to the equity. As flagged in the previous quarter for the rest of the year, the Russian operational risk component was capped at EUR 2.8 billion, equal to 57 basis points. We keep the outlook for this and expect the ratio to land at around 15.2% at year-end 2025. So moving to our core group CET1 ratio outlook on Slide 12. The moving parts behind this notably the expected increase in credit RWAs, with the upcoming loan growth and naturally the positive impact of retained earnings for the second half of the year. Quickly covering also our capital ratios for the entire group sit very well above the requirements, which leads to ample buffers even after the recognition in Russia in the second quarter. On Slide 14, we note our MREL ratios for the Austrian and the other resolution groups are very satisfactory. We issued a senior preferred note in February, and we still aim to issue a senior non-preferred this year. Our resolution group in CEE was already flagged here with the manual needs for 2026. Coming to Slide 15, we outlined the macro outlook for this and the following year. The growth you can see across our markets is driven by rising consumption and an increase of investments. However, the picture is different for some countries where the growth is still sluggish. It's worth mentioning here that the GDP forecast in the table already includes assumptions on imposed U.S. tariffs. Jumping to Slide 16. One can observe that inflation rates have stabilized on elevated levels in CEE, while in euro rates are on levels close to the targets. Our key rate forecasts expect that rate counts in Czechia, Hungary and Romania are on hold for the rest of this year. Finally, on my last slide, we show our outlook. As you can see, this is broadly unchanged with the only tweak made to the risk cost guidance, which is now reduced to around 35 basis points for the full year 2025. And with that, I hand over to Hannes. Thank you.
Hannes Mosenbacher: Thank you, Johann. Good afternoon, ladies and gentlemen. Allow me to run you through a few key elements of our second quarter results. Starting with risk costs. We can report EUR 62 million of provisions equal to 23 basis points and broadly in line with the 20 basis points, which we reported in the first quarter. This is, of course, a very satisfactory level, and it allows us to revise our guidance for the full year 2025 down to 35 basis points. Our Stage 1 and Stage 2 provisions were up mainly as a function of our portfolio development as well as some minor adaptations to our retail post model adjustments. We released a small amount of our overlays and still hold around EUR 439 million for the group, excluding Russia. As I mentioned to you in the first quarter, we have been running reviews, internal stress test, in fact, on our portfolio sensitivity to tariffs. Based on our analysis so far, there was no need to create additional overlays. With that being said, there are some parts of the book, which, of course, we keep a very close eye on. We did see a pickup in Stage 3 provisions in the quarter also from extremely low level in the previous quarter. Asset quality continues to improve overall with the NPE ratio for the group, excluding Russia, down to 1.8%, following some recoveries and our coverage ratio has slightly improved to 4% to 8%. You all, of course, I know that some of you will ask why our guidance is at 35 basis points, with only 20 basis points halfway through the year, and I can simply refer you to the persistent high uncertainty, both in economic terms and also looking at the geopolitics. Let me move on to Poland. We booked a further EUR 167 million of provisions for litigation in Poland. And by this, we leave our guidance for the full year 2025 unchanged at around EUR 300 million. In the second half, we do not expect significant model updates. Furthermore, as the law to accelerate the resolution of these cases is introduced, this should reduce penalty interest in court fees which are part of our provision numbers. Before we take your questions, let me finish on a positive note. As you know, the 2025 EBA stress test results will be published this Friday afternoon. Let me use this opportunity to say a big thank you to the whole risk team. And I'm satisfied with our results, which will not contain any big surprises for you. With that, let's open up the floor to some questions. Thank you.
Operator: [Operator Instructions] Our first question will come from Gabor Kemeny from Autonomous.
Gabor Zoltan Kemeny: I have a couple of questions. The first one is on the dividend outlook. I mean I understand that this Russian claims, the recognition would not impact your ROTE, your TBV, but I'd be interested to hear to what extent Russian results might impact your dividend payment capacity in the sense of that driving further provisions potentially or losses in Russia, could that impact the dividend? That's the first question. Second one, you are mentioning -- I understand you have limited capacity to comment on Russian litigation. But you mentioned in the report this arbitration case with a, I believe, EUR 1 billion penalty claimed from RBI. Can you comment on the moving parts there and possibly the likelihood of that being booked?
Johann Strobl: Thank you, Gabor. To your first question, dividend outlook with this negative impact what we had in the second quarter. I mean you are aware that in our capital planning, what we have and in the numbers in the outlook on the CET1 ratio, we have the core of our attention is also the core group. And here, we use the regulatory requirements, what we have, which on a full year basis would be around EUR 1.6 per share. And so half of it is, of course, already considered in the numbers we report. So at the end of the day, it's a decision considering all developments, what you have there. But our decision -- and this is my full understanding is based and was always based in the last 3 years on the performance of the core group. And so I think the outlook what we have given is a strong understanding of the potential of the group. Now to the second question, the arbitration case, indeed, what happened is that the Rasperia brought an anti-suit injunction against this case. There are a couple of moving parts. So the first session of the court, which was mainly procedural, have happened and the next session where it will be a material discussion is end of September. In the arbitration court, 3, if I may say so, 3 groups have participated initially, do have already withdrawn, so we will see what else can happen. As you see from the provisioning part, we don't have any reason to assume that we will have to provision that. But of course, we will update you on the further developments.
Operator: Our next question will come from Máté Nemes from UBS.
Máté Nemes: I have 3 questions, please. The first one would be on your consolidated ROE guidance for the full year to 10%. In the first half, you achieved 8.1%. So I'm just wondering, what do you expect to improve the full year number to 10%? What would change in the second half drastically? Is that materially lower provisioning in Poland? Is that fair value gains perhaps or any other effects? And also, are there any changes expected in the core equity base ex Russia that would increase ROEs? That's the first question. The second question would be on provisioning. Another good provisioning trends in the second quarter. It seems to have come entirely from Stage 3 provisions. If Hannes, you could talk a little bit about the nature of these defaults, also, any industries, any geographies in particular? And related to that, the third question, the uplift from 20 basis points cost of risk in the first half to 35 at full year, are there particular industries, geographies or any other drivers that you have in mind that you assume will deteriorate that will drive this uplift?
Johann Strobl: Thank you for the questions. Let me start with the ROE outlook. I think the positive elements are that the loan growth is expected to be good. So from our perspective, this should more than compensate or at least compensate the -- all what we see on negative impact from the rate cuts, what we have seen so far or if there might one come in addition. But in most of the cases, as you see from our macro forecast, we now assume a stable rate environment. So this is the one. The second is that the net trading income is always a moving part, but we expect rather a stabilization compared to the first quarter of this year. And the third element I would touch here is the litigation provisions, what we have in Poland. So we already have a high number in our forecast. We believe we have good reasons to keep the guidance what we had earlier of around EUR 300 million for the full year. So this gives us a good support. On the other hand, we have headwinds as well. So there is banking tax in Austria, which came as a negative surprise. And yes, we have pressure on OpEx as well. And what in this forecast is not taken into consideration which might be also a headwind is, of course, a potential windfall tax in Ukraine what we have seen in the last 2 years. So it's a mixed picture, I would say, but enough comforting factors that we gave this outlook. I understand Hannes would talk now to the risk costs as well.
Hannes Mosenbacher: Yes. Máté, thanks for the questions. So when reflecting back on the Q1 first half year, what was the nature of the defaults in the industries, I think I can -- there is maybe not the perfect clear pattern. The one was a bigger case which was out of a restructuring case where we hope that they are going to make the turnaround. And seemingly, this was out of the packaging industry. They faced troubles given the current macroeconomic environment, the economic interaction. So here, the turnaround was not progressing and proceeding as we have hoped for. And the other one was the one other increase in coverage out of the commercial real estate. But on the commercial real estate, I have also to share with you, this was a mixed impression because for some, we had to slightly increase our coverage. And for some older cases, we have now found settlement with a full repayment more or less. So this is what I can talk about when reflecting on the first half year. Hopefully, this is sufficient, clear for you, Máté. And the second one is, if I look at the second half to come and why we, as an RBI Board, have considered on the one hand side, reducing the risk cost guidance down from 50 basis points down to 35 basis points but at the same time, leaving it up at this level. You all know those who give us company for a long period of time that Q4 is always good for the one other surprise. The second thing is we must not forget, and I know if I look at some part of the markets would believe that the market forgot, we are still facing a situation with elevated geopolitical risks. We see also some leveraged finance transactions who have been structured in a bullet loan structure that there is now the time to be refinanced and I'm still looking to the FI and sovereign part of the portfolio. If you look, for instance, how many more issues are being to be placed in the market, all these -- so this is my way of thinking when looking about the second half year geopolitics rolling over and refinancing sensitive structures and let's see how the commercial real estate and the geopolitics are also finding their way to the FI balance sheet. Hopefully, this helps to the guidance, Máté.
Operator: We'll hear next from Benoit Petrarque from Kepler.
Benoit Petrarque: It's Benoit Petrarque from Kepler Cheuvreux. So the first one is on the net interest income. You've kept your guidance on NII despite the reclassification of roughly EUR 50 million annualized to the other income. So is that correct to think that your outlook on NII is slightly improving versus where you were before? Are you more positive? You mentioned the rate cuts, which is probably not going to happen in H2. So I just wanted to talk about your NII outlook for H2. It seems that your guidance implies a sequential improvement of NII quarter after quarter Q2, Q4. So I just wanted to confirm that. Second point is on the loan growth, 6%, 7% guidance versus 2% realized. It sounds like a very big acceleration of loan growth. I wanted to check with you how confident you are on that pace of acceleration. And then final question is on Russia. I think you are getting to a point with this deleveraging and derisking where we could get close to the scenario where you could think about an exit from Russia. Is that something you have in mind for '26, for example? So a situation where your loan book is small enough to just give the keys to the Russian authorities.
Johann Strobl: Thank you. I can confirm your first question. Yes, despite the Hungarian classification, we believe that we will achieve this. Of course, we have seen quite a lot of rate cuts if we compare average rates and I take here as a proxy, the key interest rates, they have been significantly like in Czech, 160 basis points; Hungary, 120 and also in the euro area. But nevertheless, what we see is that part of this is hedged, of course. So these adjustments does not immediately come through. And second, as I mentioned before, the loan book is developing good. We -- and what we can say is also from the forecast to the markets where we are in, the overall development seems very good. And the performance, what we see now in our organization, is also quite optimistic. I think even if one might assume that one or the other regulator might put in some measures, which make it less easy to borrow because of a concern of overheating in one or the other market segment. I think this part in retail is working nicely. What we see now, so the new volumes in unsecured as well as in the mortgage business is very good. And we can believe from what we see that this keeps going for a while. And in corporate, which the first quarter was not so good, we saw much improvement now in the second quarter already. And with this pipeline, I think it will materialize also in the balance sheet. So here, we are confident. And then talking about the derisking scenario, I mean, here, I can only repeat that, of course, any exit needs quite a lot of approvals by various authorities, of course, the Europeans, the U.S. to find the right buyer, but also from the Russian side administration as well as the Central Bank. We keep continuing this route. And I personally still hope that we will show some success. But given the setbacks what we have had over the last 2 to 3 years makes us cautious. But yes, we would love to make some announcement here as well. But when talking about giving the keys back, we'll see how the geopolitical and especially the Russian environment is developing. Currently, we think rather on other routes.
Operator: We'll move next to Riccardo Rovere from Mediobanca.
Riccardo Rovere: A couple, if I may. The first one is, Johann, right at the beginning of the call, if I'm not mistaken, you mentioned that the derisking in Russia is going according to plan or maybe even faster than expected. When you say something like that, are you referring to what you have agreed with the regulators, with the ECB or eventually to what kind of plan you are referring to? The second question I have is risk cost, this is true that comes better than expected in the quarter, but it's really, really scattered across the divisions. So some divisions are experiencing reversal. So some others like the large corporate one is running on 65 or 70 basis points, something like that. So fairly elevated, I would say. Now especially in the large corporate, is there anything you think is one- off in the risk cost that you have seen so far in the semester? And last but not least, from time to time, you were used to provide us with some sort of NII sensitivity by country. And here, I'm referring especially to Czech Republic now that rate cut seems to have kind of accelerated and the euro area given that the leasing cycle may be close to an end.
Johann Strobl: Thank you for your questions, Riccardo. The first question I can answer with a clear yes, I was referring to the plan, which was -- let's be more precise. So we had some requests from ECP and -- well, then there has been some assumptions by ECP as well as by us. And of course, as we see, this runs better now than expected. So yes, according to ECP. Hannes?
Hannes Mosenbacher: And if I can take the second question, Riccardo, partly it refers back to Máté. So as you rightly spotted, there have been some countries, e.g., Hungary, where we have really seen even write-backs in the risk cost perspective. And these have been some seasoned commercial real estate workout cases, which turned out positive for RBI Group. So the 60 basis points you're referring to on the corporate and large corporate division, there were no new defaults in a scale above EUR 5 million of risk costs to be added. So it was -- the one was a turnaround case based in the packaging industry, where the turnaround suffered, and we had to allocate a little bit more of risk cost. And the second thing, and I'm sure you have this anyway on top of your mind, Riccardo, in the first quarter, we have added some EUR 60 million, EUR 65 million as overlays in the segment of Group Corporates. So if you look at the Stage 3, it's not as pronounced as if you look at the overall risk cost. So this is the main reason for the large corporates here in Vienna, we have allocated in the Q1, some overlays of EUR 60 million, EUR 70 million. And furthermore, last argument, if you look at Page 23, you also can clearly see that we have increased our coverage ratio out of seasoned and existing default cases. Hopefully, this gives you some guidance. Thank you, Riccardo.
Johann Strobl: And Riccardo, I'm back to answer your third question, which is about NII sensitivity by country, and you were especially mentioning the Czech Republic and our activities there. So let me start with what we usually share with you is this very simple NII sensitivity with 100 basis point shocks with all the assumption on stability in the books and some others. And here, I can say, and I only use numbers without Russia, of course, because probably all of you are less interested in that sensitivity. So this would be in total around EUR 120 million, evenly split more or less between euro and the local currencies, what we have. When we now go to Czechia to add a little bit more detail. So here, the assumption is that it will be slightly above EUR 30 million, the biggest part, so let's say, 80% or more, 85% coming from the local currency. I'll come to that. Of course, current accounts will not be priced negative. So this leads to a margin drop. We have built up quite a lot of deposits, which, of course, have room for adjustments. The question is what are the reactions of competition if it falls. But if we assume it cannot be fully passed on, so a bigger part comes there as well. And what I said to the current accounts, this is evenly split. Part of this is compensated by the positive contributions, what we have from our model hedging books, however you might call it. And this, given the size of the Czech book, this is significantly big one. So of course, this is actively managed, but it's between EUR 10 billion to EUR 12 billion with a duration of slightly above 4 years. So it's -- that's, I would say, it's a good hedge. [ Beware ], it's a combination of bonds, fixed rate bonds and of receiver of interest rate swaps. This is where we have been mainly interested. Of course, Slovakia has to the euro another big sensitivity, I would say, also in a similar size, slightly less, so maybe EUR 25 million. And then, of course, Serbia is meanwhile also a significant country. So here, I would also say around EUR 25 million. The others are then filling up the rest to the EUR 120 million.
Riccardo Rovere: Okay. And clearly, when you were mentioning EUR 25 million in Slovakia and EUR 30 million in Czech Republic, you are always referring to a 100 basis point change in policy rate, of course.
Johann Strobl: Exactly, assuming that this is standard for you to then make your conclusions.
Operator: We'll hear next from Simon Nellis from Citibank.
Simon Nellis: Just on the NIM again, particularly on the Group Corporates & Markets division, I saw there's a bit of an increase in NIM. Can you just give us some color on where you see NIM there? Is it going to remain stable at that level in that particular division? Because I think it saw some of the highest NIM contraction. That would be my first question. Second, I saw a large increase in fee income in Romania. If you could comment on to what extent that's a one-off? And then last, I was just a bit confused on dividend accrual. So I think you said that the full year dividend, you're guiding for something like EUR 1.60, but what was actually the dividend accrual for the first half?
Johann Strobl: Yes. Thank you. So the question to the Corporate Center, I mean, this is mainly driven by a business which is very -- with very narrow margins and...
Simon Nellis: No, sorry, I was talking about the Group Corporates & Markets division, not the Corporate Center, the group market...
Johann Strobl: Sorry, yes, yes. Sorry, I was -- indeed, you are right. But this is -- depends on the -- simply on the business, what you have and the structure of the business. So it's bringing in slightly better priced products helps a little bit. So this is, I would say, here the main topic, and we will see -- we have moving more and more or that there is some intention to move from the very short-term business to slightly better priced, higher margin. So this is a trend. Yes, it's an ambition to improve it here a little bit. We have suffered quite a lot if you look in the longer term from the rates which come down. To your second question in Romania. In Romania, what we have is a combination of a very nice new business building up in some of the fee business, but like in some other markets, we have, you might call it, a seasonality impact from some fee from our partners like credit cards or whatever, where we get an incentive-driven pay then, which comes one or twice a year. And if I remember correctly, this was a higher single-digit number in Romania from that. So this probably explains the sort of one-off. I would rather call it, it's a seasonality number, which will get distorts then the quarter in which it happens. And then to your third, indeed, so we took half of it, so which is EUR 0.80 per share, which was deducted when calculating the CET1 ratio, so half of the EUR 1.60 per share.
Operator: We'll move next to Robert Brzoza from PKO BP Securities.
Robert Brzoza: I'm a little bit confused perhaps if you could elaborate more on the ROE guidance, namely you maintained your around 10%, but this is the consolidated return. Are you also providing core guidance for ROE? I mean I would be imagining that the core ROE guidance given the better cost of risk outlook and the fact that the better noninterest income has been related to a reclass from the interest income could be trending up for the second half of the year. And then does this around 10% consolidated ROE guidance, does it already include this additional charge in Russia?
Johann Strobl: I'm not sure if I really now understood the question. So I was referring to the core group. So this is without Russia. This is important. What I did not mention, obviously, is that in the first quarter, we always have to book this special regulatory requirements. So the bigger part of it comes at the very beginning of the year. So therefore, the first quarter is also a little bit distorted. And most of it is booked already if you look at the various components. And for the rest of the year, this is a little. So this is a very positive development, and we expect this also for this year. Second, as I said, it's in the core group there is the big expectation that we can keep the EUR 300 million negative impact from Poland from the Swiss franc and meanwhile, also the Euro book. So these are the 2 main components where we have to say this is front- loaded in the first half of the year, and this supports, of course, the second half. Now the noninterest income, what you see, usually, there is one element where the first half year, the first quarter was already negative influenced was impacted was our own credit spread, so part of our liabilities, which comes from a special business part where we have to value parts of our liabilities from the -- so from the certificates business where we have mark-to-market and have to use our own credit spread. So this is under the assumption that this is normalized, gives also some tailwind, if I may say so compared to what we have. Now to your question, what is the impact on Russia? And now we are talking about the full group. The assumption here on the full group is that we have only this onetime write-down of EUR 1.2 billion. So there is nothing built in further lawsuits or whatever negative impacts, one cannot exclude it. But what we want to say is in the core group, this does not have any negative impact. So all this is within the consolidated part. Of course, we have, in the core group, also a very small amount of value for the Russian entity, but this would only occur if we have to fully deconsolidate and this would also have on the AG a negative impact, not on the consolidated group. There is what you have seen. I hope this answers your questions.
Robert Brzoza: Maybe just one final word here, if I may, because I'm seeing that essentially against the guidance of 13% core group ROE, you didn't change this figure, although you are talking about sort of tailwinds to, if I understand correctly, NII, liability, certificate valuation and the risk costs. So why then didn't you change upwardly the core ROE guidance for the group? Or are there any other factors that sort of stopped you from doing that?
Johann Strobl: Now this is a very simplified approach what you see here, and this explains what is the negative impact from the Swiss franc topics, what we see in Poland currently. So if you would add to what we expect some EUR 300 million or a little bit more of maybe additional cost what you have from Poland, then you would move up from this 10% to around 12.8%, if you have it very exactly calculated. So around 13%, given all these uncertainties what we have. So the difference between the 10%, what is our outlook and the graph where we see the current underlying strength of the business, this is then this gap of 3% from this part of Poland.
Robert Brzoza: Right. I'm also -- I'm actually referring to the time difference. You're talking 13% as of today. And the quarter ago, you were also talking about 13%. So essentially, I don't see any upward impact on the ROE from the positives, which include the risk costs and other elements, but I understand maybe this is more sort of complicated than this.
Johann Strobl: Here, maybe as we have such great people in our Investors Relations, I propose that they give you a call and run with you through the last 2 or 3 quarters to the various numbers and explain where has been the improvements from the risk costs and the negative developments and the relative improvements also from Poland and how they were compensated. And as you're rightfully saying there are a couple of other things like extra taxes in them then. So it's -- I think it's worth to take a 15 minutes in detail with my colleagues to run through it, and they welcome such a call. Thank you.
Operator: We'll move next to Ben Maher from KBW.
Benjamin Maher: I just got a couple of quick ones. So you've seen some very strong fee performance. You're tracking ahead of guidance. So just interested if you expect momentum to slow in the second half of this year and the reasons for that? That's my first question. The second one is just on the legal claim that you were guiding to make in second quarter in Austria. Are you able to give a bit more color about when you expect to file this claim now and the reason for the previous delay? And then just the final question is on the geopolitics. Just interested if you have any thoughts as we look ahead to the Czech elections, which is scheduled for October?
Johann Strobl: Yes. Thank you. So let me outline the numbers. So the fee for Q2, and then you can see what you would expect also in the next quarter. So let me dissect a little bit. So if you look at the gross numbers, and we have to say that Hungary is usually distorted because of the special bank transaction tax, what they have. And if you have a year-on-year comparison, then this has an impact of some EUR 24 million. So this is what has to be considered. Of course, it depends on this transaction tax regime as well as on the transaction volumes, what we have seen. But one has to also say that the transactional activities, especially in debit cards has improved. I have already mentioned that we have done some payments out of the incentive schemes, which are only calculated once or sometimes twice, and this also had quite a positive impact. But on the other hand, I can also say that the underlying business is also good. So probably it would not be -- I would not advise to use the Q2 as the new base of a run rate. But I think if you just look at the 6 quarters or so then -- 5, 6 quarters, then you see a nice improvement independent of this special effect. Now to the claim in Austria, as I said, we believe that the strength of the claim is not disturbed at all, and this was not the reason why we made the adjustment in the IFRS. So that it's only that the requirements for IFRS are quite strict in this special case, and therefore, we adjust it. Now I do not like to comment on our -- at this point in time on our tactics and the strategy. But as this is moving as well, but as I said, let me confirm the strength of our cases there, first. Second, we will update you in due time when we have new developments. And to your third question, the Czech elections, maybe Hannes wants to comment. Usually, I do not comment on the election.
Hannes Mosenbacher: Well, me neither. So the only thing what I would have to say, Ben, is that we would not see any material impact foreseen from our side. listening to our researchers on the market side, they are currently having some 2% plus/minus as a gross potential on top of their mind. And we see a super solid employment locally in Czech Republic, and we truly believe that also the German fiscal measures could also support the Czech economy even further. Thanks for the question.
Operator: [Operator Instructions] We'll take a follow-up from Riccardo Rovere from Mediobanca.
Riccardo Rovere: With regard to overlays, I understand the amount you have related to Russia. I understand the amount you have for Ukraine. And I'm a bit more surprised by the fact that you still have EUR 350 million, if I'm not mistaken, to EUR 340 million of overlays related to the rest of the group, which more or less accounts for 35 basis points of the loan book. So that would cover more or less a full year of your underlying of your risk cost guidance. And I was wondering what is going to happen to that? Do you think, considering the GDP in the euro area has come out a little bit better than expected, same story for the U.S. in the second quarter. So I was wondering why -- what's the reason of continuing to have this amount of overlays? And should we expect you to take a decision here at year-end? What kind of discussions do you have with your auditors with regard to this EUR 340 million?
Hannes Mosenbacher: Riccardo, I truly appreciate the question because this is anyway in the room, so it gave me the opportunity to talk about this. Well, we must not forget today, as of the 30th of July, we feel or we sense that we are again in a decent environment. But if you look, for instance, at the uncertainty indices after 2nd or 3rd or 4th of April, they have been jumping upside down. And our main part of the allocated overlays has currently 2 or 3 main pillars. The one is, as I indicated in the Q1 call, the entire leveraged finance part of the portfolio. Some of these refinancing will be rolled over this year or next year. And I was talking about politically and geopolitical uncertainty. So let's see whether or not all of these rollovers will go just super smoothly. This is one big part of the whole story. The second one, what, of course, we also had on top of our mind was the discussion round about tariffs. And we have done a stress test. I was sharing this stress test with you that only for 2% of our P&L, they would have a 3% impact. But this is a first order impact only. And the first order impact anyway, we would have covered in our models. But I would like to see how the second round or third round effect are playing out. But you're completely right, if none of those things would materialize, so neither the refinancing risk nor the geopolitical stuff, we will be challenged and for good reasons, why we keep the level of overlays in the amount what you can see currently. Hopefully, this gives sufficient guidance on the way you're thinking, Riccardo?
Riccardo Rovere: Yes and no. Just to be clear here, are you basically saying, Hannes, that at the moment, this EUR 340 million have been, if I may say, rebranded under the name of tariff uncertainty. It was COVID, then became Russia, then became inflation, and now those have been kind of rebranded tariff because we don't live in a stable world. We have never lived in a stable world. There will always be a reason to keep these overlays. This time it's tariff, it was inflation, then Russia, then COVID. I mean, is this the way -- the new way of, let's say, accounting for something that the model just cannot capture because models look at the past, they don't see the future. So just wondering to understand whether that is capital or not or is there to stay forever?
Operator: We'll move to the next caller Joseph Kalwoda with Wil Asset Management.
Joseph Kalwoda: Just a quick clarification. In case the arbitration case in Amsterdam gets withdrawn or thrown out altogether and RBI prevails at the Austrian court system with the damages claim of EUR 2 billion plus, is there from April this year onwards, the Austrian commercial interest rate of 8% applicable?
Operator: Please stand by Mr. Kalwoda. One moment. Ladies and gentlemen, please remain on the line as we have -- we are experiencing interruption in today's conference. Please stand by. [Technical Difficulty] In the queue, we do have Joseph Kalwoda with Wil Asset Management.
Joseph Kalwoda: Okay. Just a quick clarification. In case this arbitration case in Amsterdam gets thrown out or withdrawn, and RBI prevails at the Austrian court system with the damage claim of EUR 2 billion plus, is there from April this year on the Austrian commercial interest rate of 8% applicable?
Johann Strobl: Good question, which I have to say, I cannot answer now.
Joseph Kalwoda: Okay. Now maybe you could prepare for next call.
Johann Strobl: Yes, yes, I will do...
Joseph Kalwoda: But you can -- you just let me know, you just let me know. Also...
Johann Strobl: I'll let you know. We know...
Joseph Kalwoda: Yes, yes, sure, no problem. In the beginning of the call, you pointed out that 2 have withdrawn the holdout, is that the foundation in the Amsterdam arbitration court?
Johann Strobl: I said 2 have withdrawn and the foundation is still in.
Hannes Mosenbacher: Operator, I would still like to answer the question to Riccardo because seemingly, our line here in the conference room was not working, Riccardo. So my answer and my colleagues are already smiling at me because I was telling it to myself already 3 times in a row. So now I have sufficient time to practice. So the reason why we still have some EUR 300 million of overlays booked is on the one hand side, of course, given the current geopolitical environment. Secondly, we would like to see how the wall of refinancing for leveraged finance is working out. And we must not forget that in some of our countries, we still have compared to through the cycle, slightly elevated interest rates. So if all those 3 things would normalize, rollover working out, geopolitics coming down and industry -- interest rates being back on long-term averages, I think we would then rework and review our overlays. Thank you very much for the question.
Operator: At this time, we'll take our final question. We'll move to Krishnendra Dubey from Barclays.
Krishnendra Dubey: I just had one question, sorry, on the medium-term ROE guidance, I guess. I look at your guidance, you've been guiding for more than 13% for the next 2 years. You guide for more than 13% even this for on an underlying basis. When I look at consensus, I guess, it still remains below 10%. What is that consensus missing in terms of is it the revenue growth? Or is it cost is too high? Or are we modeling in too much of provisioning or other things which you think is being not modeled right, I guess, in your view?
Johann Strobl: I'm very sorry to create with this presentation such confusion. So what we wanted to show is that the impact from our Polish Swiss franc and euro mortgage business is -- was very negative. So this is a very simple graph, which -- and now I try to find my page, it's -- sorry, give me one second so that I can guide you then on the right page. It's the Page 17, I guess you are referring to that. And if you look then at our numbers, what you can see is that the litigation provision in -- so what we took here is we have taken out for comparison the contribution what over the years we had from Russia and Belarus. So it's like-for-like. Then what you might remember or what you could look up is that it started negatively, significantly in 2022, the Swiss franc provisioning in Poland, and this increased in '23 and in '24 significantly. You see the gap of around 600 basis points. So we had provisions of EUR 600 million to EUR 800 million in all these years. And this gives -- explains the difference. Now in '25, we assume still a negative impact, P&L impact of around EUR 300 million, which then would explain, again, very simplified in the presentation, would explain the 300 basis points difference. Now the question is when will be -- and the expectation is that maybe over the next 1, 2 years, we will see if we are done already or if there is a smaller impact. But sooner than later, we will move in this area in this time phase where we don't have -- where Poland, the mortgages are fully provisioned and settled hopefully to a large extent and then you will have no negative impact anymore. And therefore, we then believe that -- and I call this the underlying business of the core group is then from today's perspective, 13% ROE. And of course, we have to work to improve that as well, but this is what we see currently in our midterm plan and in our strategy. I hope it could reduce the confusion I created. In case it was not fully possible, then again, I would also refer you to my colleagues from the Investor Relations because they could then refer to the historic numbers and explain where the difference is. And then probably it's much easier to understand the underlying thoughts from this graph. Thank you for the question. And please don't hesitate to call the colleagues.
Operator: As there are no further questions at this time, we will now conclude today's conference call. Thank you for your participation.
Johann Strobl: Thank you, operator. Thank all participants. As this is summertime, I hope, reporting season ends soon for you, and you will enjoy your holidays, as we plan to do. Thank you.
Hannes Mosenbacher: Goodbye.
Operator: You may now disconnect.